Operator: Good morning, everyone, and welcome to the Gibson Energy's First Quarter 2025 Conference Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Beth Pollock, Vice President of Capital Markets and Risk. Ms. Pollock, please go ahead.
Beth Pollock: Thank you, Haley. Good morning, and welcome to our first quarter earnings call. Joining me on the call this morning from Gibson Energy are Curtis Philippon, President and Chief Executive Officer; and Riley Hicks, Senior Vice President and Chief Financial Officer. We also have the rest of the senior management team in the room to help with questions and answers as required. Listeners are reminded that today's call refers to non-GAAP measures, forward-looking information and is subject to certain assumptions and adjustments and may not be indicative of actual results. Descriptions and qualifications of such measures and information are set out in our investor presentation available on our website and our continuous disclosure documents available on SEDAR+. Now I would like to turn the call over to Curtis.
Curtis Philippon: Thanks, Beth. Good morning, and thank you for joining us to discuss our first quarter financial and operating results. I'll begin with key highlights from the quarter, our progress on strategic goals, and overview of financial performance and priorities ahead before turning it over to Riley for a detailed review of our results and position. The first quarter marked a strong start to the year, including a new record for Infrastructure adjusted EBITDA. Our strategy in 2025 is anchored in 5 core themes: safety, delivering on gateway, growth, cost focus and building high-performance teams. I'm pleased to report strong momentum across all 5. I'm proud to update that we have recently celebrated 9 million hours without a lost time injury. And on a rolling 12-month basis, we set a new Gibson record for total recordable incident frequency. Safety is foundational to our success, and this performance underscores the team's commitment. Gateway, our export terminal in Ingleside, saw record volumes this quarter, supported by new super major customers. This was achieved even with partial dock restrictions due to dredging work. We're pleased to report that the dredging project was completed safely, on time and on budget, positioning Gateway as one of only 2 Texas terminals able to load 1.6 million barrels on a VLCC or fully load a Suezmax vessel. The Cactus II connection project remains on track for Q3 2025 completion and will add approximately 700,000 barrels per day of supply capacity to our terminal. Our overall growth strategy continues to focus on expanding our stable crude oil infrastructure platform. In Q1, we achieved a record $155 million in Infrastructure adjusted EBITDA, driven by a full quarter contribution from new tanks with Cenovus in Edmonton and record throughput at Gateway. In March, we announced a strategic partnership with Baytex to develop Infrastructure in the Duvernay. Under a 10-year take-or-pay and area dedication agreement, we'll deploy approximately $50 million in upstream oil batteries and gathering lines at an established rate of return. Baytex will construct and operate the Infrastructure with all crude volumes flowing through our Edmonton Terminal. The project is on track to be in service by the year-end 2025. Both Gibson and Baytex see opportunities to expand this partnership, and we're excited by the growth potential this model presents, leveraging our terminals to work closely with our customers and deliver scalable infrastructure solutions. On cost focus, we set an ambitious company-wide goal to realize over $25 million in cost savings. In Q1, we internally launched the We Are All Owners initiative to engage employees in implementing savings opportunities. We set a target of at least 50% employee participation. In the end, nearly 400 people actioned the savings initiative, representing the participation of almost 80% of our team and it made a significant contribution to the overall cost campaign to date. To date, we have implemented over $18 million of cost savings, well on our way to exceeding the $25 million target. People are at the center of our success, and I'm pleased with the progress we have made across the organization on people and team alignment. Later this month, we'll welcome Dave Gosse as our new SVP and Chief Operating Officer. Dave brings deep experience and operational leadership, including as President of Energy Transfer Canada. In this role, he will lead all aspects of operations, engineering, supply chain and environmental health and safety. Q1 results reflect the strength of our Infrastructure business and focus on execution. We reported $142 million in adjusted EBITDA and $91 million in distributable cash flow with Infrastructure performance offsetting muted Marketing results. Infrastructure led the way with record volumes at both Edmonton and Gateway, helping to offset temporary dock outages due to dredging. Marketing results were in line with the breakeven guidance we provided on our Q4 2024 call. Both the Infrastructure segment and the overall consolidated results were positively impacted by the success of our cost focus campaign. We realized $6 million of both recurring and nonrecurring cost savings this quarter, boosting distributable cash flow by 7% per share. Looking ahead, as we execute on growth capital projects, we'll also be deploying our largest ever maintenance capital program. This includes turnarounds at both Moose Jaw and the Hardisty DRU during the second quarter as well as required maintenance at select terminal assets in both the second and third quarter. While the impact is not material to our Infrastructure business, given these are all operating assets, we do expect some resulting interruptions during the quarter. The team has prepared well over the last year, and we're looking forward to the safe execution of these turnarounds and some enhanced capabilities of our assets going into the third quarter. In summary, we delivered a strong first quarter that reflects disciplined execution, operational momentum and our focus on long-term value creation. I'll now turn the call over to Riley for more details on our financials.
Riley Hicks: Thank you, Curtis. As Curtis mentioned, we had a solid quarter to start the year. Record Infrastructure adjusted EBITDA of $155 million in the first quarter was $3.5 million higher than the same quarter last year, driven primarily by record throughput at both Gateway achieved despite minor interruptions at the terminal due to our recently completed dredging project and Edmonton, which benefited from a full quarter contribution from 2 new tanks constructed for Cenovus and backstopped by 15-year agreements. Outperformance within the segment was also driven by the impact of cost savings initiatives realized within the quarter. Turning to our Marketing segment. Adjusted EBITDA was breakeven for the first quarter, in line with the outlook we provided on our last quarterly call and a $33 million decrease from the first quarter of 2024. The Crude Marketing business was impacted by sustained elevated demand for Canadian heavy oil, resulting in persistent steep backwardation and narrow differentials, thereby limiting storage, quality and time-based opportunities within the quarter. While we are seeing improvements in the crack spreads impacting our refined products business, these gains were offset by a seasonal reduction in demand for asphalt products as well as the continued strength of the WCS differential impacting our feedstock cost at the facility. In terms of our marketing outlook for the second quarter and the remainder of 2025, we are beginning to see some fundamental improvements within the market, especially with respect to our refined products business as crack spreads have started to normalize, and we will benefit from the seasonal increase in demand for asphalt-based products. That being said, our upcoming turnaround at the Moose Jaw Facility will impact our sales volumes through the second quarter, limiting the near-term impact of the improving fundamental outlook. As such, when all factors are considered, we anticipate adjusted marketing EBITDA of $0 million to $10 million for the second quarter. Looking further into the year, while we do see a more constructive market than we have during the past 2 quarters, we forecast annual contribution from our Marketing segment to be below our long-term guidance and within the range of $20 million to $40 million for 2025. Given the current market volatility and geopolitical uncertainty, we will continue to provide both quarterly and annual guidance updates on our conference calls throughout the remainder of the year. Overall, on an adjusted EBITDA -- adjusted EBITDA on a consolidated basis was $142 million in the first quarter, a $28 million decrease from the first quarter of 2024, primarily a result of lower contributions from the Marketing segment and other previously mentioned factors. Turning to distributable cash flow. Gibson generated approximately $91 million in the first quarter, a $24 million decrease relative to the first quarter of last year. Consistent with previous commentary, the delta was driven largely by lower marketing results and partially offset by increased Infrastructure EBITDA and the impact of $6 million of cost savings initiatives realized within the quarter. As Gibson has done to date, we remain highly focused on adhering to our financial governing principles, which include maintaining a strong balance sheet, remaining fully funded for all growth capital and ensuring our dividends are fully covered by stable long-term take-or-pay cash flows from our Infrastructure segment. As of the end of the first quarter, our debt to adjusted EBITDA was 3.7x, slightly above our 3 to 3.5x target range, while our consolidated payout ratio was 77%, within our 70% to 80% target range. On an infrastructure-only basis, both leverage of 3.6x and payout of 73% were below our targets of less than 4x and less than 100%, respectively. While consolidated leverage and payout are elevated, this is primarily a reflection of softer marketing segment performance and higher interest expenses. We continue to view the factors impacting our marketing business as temporary, and we remain firmly committed to our financial governing principles moving forward. We also remain committed to our capital allocation philosophy, which is focused on deploying growth capital towards high-quality infrastructure projects, maintaining a solid balance sheet and repurchasing shares with any excess cash flows. As we previously communicated, given our capital program is heavily weighted towards the first half of the year, we would be targeting any potential share buybacks in the second half. With the significant market and geopolitical uncertainty we are seeing, we will continue to monitor our financial performance, leverage, sanctioned growth capital and our marketing outlook as we further assess the opportunity to execute this program, and we continue to remain firmly committed to our key financial governing principles. I will now pass the call back to Curtis for some closing remarks.
Curtis Philippon: Great. Thanks, Riley. In summary, we're pleased to have started 2025 off with a strong quarter and a clear path to long-term growth. Record quarterly Infrastructure EBITDA driven by all-time high volumes at both Gateway and Edmonton. The Marketing segment has been muted. We see this as temporary, and we are already seeing signs of improvement. Although overall leverage currently exceeds the upper end of our target range, the pressures on the Marketing segment are transitory, and we remain firmly committed to our financial governing principles and are focused on returning leverage to within the targeted range. And finally, putting our team in place and safely completing the dredging project are important milestones for Gibson, positioning us for a strong finish to the year. I will now turn the call over to the operator to open it up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Aaron MacNeil from TD Cowen.
Aaron MacNeil: Curtis, with a clear view on Marketing and your prepared comments on leverage, are you still committed to the $50 million of buyback activity in the back half of the year? And if so, could you provide any clarity on when we might see Gibson repurchase shares?
Curtis Philippon: So from a share buyback perspective, we always looked at those as being the back half of the year. So we've got a busy front half of the year from a growth capital perspective, and we'll look at that in the back half of the year with a firm eye on where leverage is at the end of the year. Obviously, Marketing performance is a key factor in that for us to go forward with the share buyback. We're going to need to see some continued reasonable -- some reasonable performance out of the Marketing segment.
Aaron MacNeil: Got you. Okay. And then maybe switching gears. Do you see the Baytex project as part of underserved market that the larger oil and liquids midstream companies aren't focused on? And how do you think about it in terms of having the counterparty build and operate the asset? Is this largely financing? Or is there any broader integration of the assets that might perform improvements -- excuse me, may improve performance of other assets in the Gibson portfolio?
Curtis Philippon: Yes. We love the Baytex deal from the standpoint that it's -- we offer a solution to our customers to solve an infrastructure problem for them while in the Duvernay in a play that we love. We work closely with them to build some infrastructure, but we also importantly get the area dedication and those barrels coming to our Edmonton facility. So I love that it shows us working really well with the customer, drives some nice infrastructure business, but really key, really locks up those barrels into our Edmonton facility. So I definitely don't look at it as a pure financing transaction. Without those barrels and that strategic fit, this probably doesn't make sense for us. But with those barrels, it provides a nice fit with the customer and a great return project for us.
Operator: Our next question comes from the line of Robert Catellier from CIBC Capital Markets.
Robert Catellier: I just wondered if you could address your outlook for the U.S., particularly volume growth in light of the recently weaker commodity prices and maybe bigger picture, how you're approaching growth in the U.S. in terms of capital deployment, given you've had a number of executive changes. I'm just curious if that approach has changed at all?
Curtis Philippon: Yes, I think from a growth perspective, I'll talk overall on growth first. I think it's -- Gibson has an interesting spot from a growth perspective. Just by the nature of our size, we don't need major projects to drive a good stable growth rate for the business and really $50 million, $100 million projects really matter for us. And so when I look out at cross over across the asset base, I see there's a good backlog of projects we can go execute on over the next few years and drive that good steady rate of growth. Specifically in the U.S., right now, right in front of us, we're right in the middle of -- we just finished the dredging project at Gateway, and it's really key for us to complete the Cactus project here in Q3. Really, the combination of those 2 really unlocks a lot of potential for us at Gateway. So that gets us pretty excited about what we can do with that asset going into the fourth quarter and really realize the full potential of that into next year. From an overall view of what's the macro impact of oil prices and different things like that on the U.S. business, I still see the Permian barrel being an export barrel that's going out to the world markets and even at the lowest cost, most efficient way to get that barrel to market is through Ingleside and through the Gateway Terminal. And so I still feel very good despite where the oil price goes and any near-term volatility in the oil price on that asset continue to perform really well. And in fact, actually, see a lot of signs that you'll see sort of increasing activity out of that asset over the next couple of years is even with sort of near-term volatility in oil price, you still see a U.S. administration that's very focused on using energy to have an influence on the world. And I believe that they want to see more energy exports out of the U.S. to address some of these trade deficits. And so I think the Ingleside facility is going to be a key part of that story.
Robert Catellier: Okay. And then just turning to the marketing outlook here a bit, and thank you for the guidance you gave for Q2 and the year. I'm curious as to what the long-term view is. What has to happen to return the Marketing business back to the $80 million to $120 million long-term guidance range? Obviously, there's some complications this year with the turnaround. But in normalized year where you don't have the turnaround activity, et cetera, which of the items is more important for you to get the marketing guys back up? Is it the differential? Or is it returning to a state of contango?
Curtis Philippon: Sure. From a marketing standpoint, really variability is not new to us in marketing. If you look back at Gibson's Marketing business over the last 8 or 9 years, the -- on average, we've generated just over $100 million a year of EBITDA from the Marketing business. So it's been a great contributor to the business. But boy, it's -- there's variability and it's lumpy. And so if you look back over those last 8 or 9 years, there's only been 2 years where we were within the $80 million to $120 million range. And so it typically has some variability to it. And that's why we -- when we look at that business, we love it, but we also recognize the importance of making sure that we fund our base business and our dividend off our Infrastructure business. And we really look at the Marketing business as a great opportunity to fund incremental growth capital and to fund share buybacks. And so we're -- the variability is something we need to manage, but it's sort of as expected from our perspective. What needs to change for the Marketing business to improve as you look forward? A couple of big signposts that we see already that are exciting for us as we look into the back end of the year, it's constructive. I think the biggest thing I'd point out would be the refined products business that obviously, in Q2, we're already seeing some improvement in refining crack spreads and some good demand from products, but we're right in the middle of a turnaround. And so that facility is really either between shutting down and actually doing the turnaround and starting up sort of minimal impact from the facility in Q2. And so once you get into Q3 and Q4, you've got sort of that facility post turnaround running with a little bit more increased capacity and capability and running into a good market. We expect a reasonable market, we expect in the back half of the year. And just naturally, you have seasonal demand for asphalt that will pick up considerably as we get into the third quarter. So I think those things give me a lot of confidence that as we talk about the $20 million to $40 million in the back half of the year, sort of sequentially getting better as you get into the end of the year. And that is something that I think continues as we get into 2026 that we feel confident that you return back into the lower end of that $80 million to $120 million range as you get into 2026.
Robert Catellier: Okay. That's a very helpful answer, a lot of color in there. Unless I missed it, I think you addressed marketing with respect to capital spending and repurchases. But maybe you can address the influence Marketing has on the dividend and the dividend growth outlook. I think if I'm not mistaken, you set the dividend to be sustainable on an infra-only basis, fully loaded for interest taxes and maintenance capital. So the question really is, where do you need to see or what visibility do you need in the Marketing business to maintain a dividend growth philosophy?
Curtis Philippon: Really, just go back to the dividend is fully funded on the infrastructure business. And so we -- it's helpful the marketing business to fund incremental share buybacks and incremental growth capital, but from a funding the dividend and funding sort of the ongoing dividend growth. And we've had 6 years -- 6 consecutive years of growing dividends, and that's something that we believe in firmly, and I expect to see that continue going into the future.
Operator: Our next question comes from the line of Robert Hope from Scotiabank.
Robert Hope: So with the signing of the Baytex deal and where oil prices currently are at, are you seeing increased interest or inbounds from other producers for similar partnerships to what you did for Baytex?
Curtis Philippon: Thanks, Rob. Yes, great question. Absolutely. I think Beth has turned into our commercial development person here as well with a lot of inbound calls following that press release. I think it was a real marker for us that we sort of had an open for business for this type of project out to the market. And yes, there are -- there's some interesting options in particularly in the area around where we have the Baytex transaction. But we're selective in this. We want to make sure we've got an excellent partner that we're comfortable from a credit perspective. We want to make sure that there's a strategic fit on those projects that they drive volumes or there's some other key strategic fit with it. And so I wouldn't say it's a blanket. We're open for business for every type of project in the Infrastructure space, but there is some interesting additional opportunities. And I expect that's going to be a key part of the growth story for us over the next couple of years. These are good actionable projects. both actually with Baytex and with other counterparties, other parties over the next few years.
Robert Hope: All right. That's great. And then maybe just moving down to Corpus. Can you maybe just update us on how contracting discussions are for some incremental capacity there as well as the rollover of capacity in the next little while, just given where pricing is now that you have some increased capacity?
Curtis Philippon: Yes, that's -- it's exciting for us that we're getting these projects done. So this was a key thing for us to be able to get access to more barrels coming to the facility. So just to remind everybody, sort of the access to Cactus II gives you an incremental 700,000 barrels of capacity, so significantly more volume available for customers, more volume and more customers available to come into the terminal. And the dredging allows us to be on par with the neighboring Enbridge facility. So that's a key thing for us that all of a sudden that we are the most cost-competitive solution for getting barrels to the water. And I think that's attractive for people. Earlier this year, we added a couple of new super major customers into the terminal, and that's been interesting. They've outperformed what we expected they would do in the first quarter. And I think that's encouraging to add a couple of new customers into the mix and just get people comfortable working with the Gateway Terminal, appreciating what a great facility it is and what a great team we've got out there in Ingleside. And I'm encouraged to see what that may bring down the road with sort of expanding their footprint in the facility. Other than that, we won't give a play-by-play on contract renegotiations as we go forward. I think we did that in the past, and it really is not helpful as we go through these negotiations with customers. I would say, though, that the comment that I made earlier around sort of world markets appreciating that the U.S. administration wants to move more barrels into the water and address trade deficits using energy is not lost on our customers, and that's a conversation we've heard a fair bit. And -- but I would caution the one other side of that comment that we've heard is all of this volatility in the world is having people pausing a little bit on some of those things. And as people are wanting to see a little bit more certainty over tariff environments and things like that before they fully commit to expanded programs. So that's something we'll be hopefully watching for over the next 6 months.
Operator: [Operator Instructions] Our next question comes from the line of Maurice Choy from RBC Capital Markets.
Maurice Choy: Just want to come back to the marketing guidance, and thank you for that. We've obviously seen a few U.S. upstream companies reassess their 2025 CapEx plans given the commodity price environment. No notable change from the Canadian so far. So when you look at your $20 million to $40 million marketing guidance for this year, how would you describe your assumption of the market conditions that underpin this outlook? And also, the way you came out with this outlook, is this materially different from back in Q3 conference call when you were giving guidance for the Q4?
Curtis Philippon: I think what you're seeing with the $20 million to $40 million guidance is we're really looking hard at what can we see right in front of us. And I think we've got a high degree of certainty when you look at specifically on the refinery is what I'm keying on. And so I think there's other additional things and volatility that could happen in the market that could provide additional upside. But what we can see right in front of us today is very clear on coming out of the turnaround, the increased impact we can have with the refinery. And so it gives us a high degree of confidence on the $20 million to $40 million. And I would say if you rewind back to that Q3 guidance you're referring to, it's probably a bit more opaque on that and whereas this is very clear and it gives us a lot of confidence on that range.
Maurice Choy: Understood. And if I could just finish off on the maintenance program. You mentioned in your prepared remarks this is the largest program this year with the Moose Jaw and Hardisty DRU work. Can I just reconfirm the $60 million that you guided to for the program late last year? And was there anything in particular about this program that you're trying to address? Or is this just a matter of the initiatives all being timed about the same time?
Curtis Philippon: Yes, Morris. It's $60 million is still a good number. So no change to the maintenance capital guidance. And it really is just timing of when those required turnarounds happen to land at a similar time. And then just from a weather perspective, it was convenient to be doing that in the spring.
Operator: Our next question comes from the line of Benjamin Pham from BMO.
Benjamin Pham: I want to go back to the debt-to-EBITDA comment and you're trending above now. Do you anticipate -- I'm just digesting your marketing outlook and the path ahead. I mean what quarter do you think your debt-to-EBITDA is going to peak out? And do you have a sense of how high it could go?
Riley Hicks: Thanks, Ben. It's Riley here. So when we think about our kind of debt-to-EBITDA, we would see it likely staying above our target range for the remainder of this year, given our marketing outlook and then normalizing in 2026 as marketing recovers. From a peak standpoint, what we're really looking at here is kind of our infrastructure leverage and our key rating agency metrics, and we feel very comfortable with where our balance sheet is on those factors. And so we do remain firmly committed to getting our leverage down back within our range, and that's a high priority for us, but we are comfortable with where we sit in terms of our investment-grade rating and our infrastructure leverage.
Benjamin Pham: Okay. Got it. And maybe next on the cost savings, you broken up between recurring, nonrecurring. Can you add a bit more detail to the mix? And then what about the composition between O&M reductions and capital? Is there also a difference between those 2 buckets, the $25 million plus?
Curtis Philippon: Yes. So the cost -- we've been really impressed with the cost savings program to date. So to date, it's actually -- it's been interesting. I would say it's been about 50-50 to date on how much is EBITDA impacting versus DCF impacting. And also on the recurring versus nonrecurring, it's been about 50-50 to date and what we've seen. I think that's a bit of a nature of early on, there's a few more sort of one-off sort of findings that we're able to take advantage of. I think as you get a little bit deeper into the program over the course of the year, I expect that you'll see a little bit more on the sort of reoccurring side of things. What we've what we've seen on the cost improvement side, I think there's probably 3 main buckets to the cost savings, I would say, when we look at what's coming in and where do we see the opportunity. Sort of the first opportunity is around adopting technology and really finding interesting ways to use both physical asset technology to drive more efficiencies, but also AI and different things to drive different process efficiencies. I think that's an interesting bucket. The second bucket we've seen is really just working really closely with supply chain and finding ways to really push back on inflation, find ways to work closely with different suppliers or with our current suppliers to find additional cost savings. And then the last bucket is really just looking for waste and really challenging ourselves and what things are really unnecessary and are distraction in the business that we can remove. I think to date, there's been probably the biggest wins in that third box that we've been able to sort of eliminate some things that are just waste -- and those are -- tend to be fairly quick and some of them tend to be somewhat one-off. Where I'm probably most excited though, I love those. Those are great. But where I'm most excited, though, is when you look at that first bucket and the use of technology and implementing new physical changes to processes are really the sustained really impactful changes. And those tend to take a little bit more than a quarter to get fully up and running. And so I think you'll see more of that as we get into the back half of the year. So I'm excited about what that sort of next phase brings.
Benjamin Pham: Okay. Got it. And then maybe just one final touch question on the staffing side of things. You've added the COO. Is there anything ahead on the horizon? Or are you pretty much built up the high-performing team structure?
Curtis Philippon: We're pretty excited. We added Riley in the CFO seat earlier this year and with Dave in the COO seat, we're in great shape from sort of where the team is at and excited about this group sort of leading us in the next chapter of Gibson. So we're very excited about what we've got with both those guys.
Operator: Our next question comes from the line of Patrick Kenny from NBF.
Patrick Kenny: Just maybe back on Gateway. I just wanted to clarify post dredging and I'm sure we'll get an update in June on the tour. But just your expected utilization of the facility going forward and I guess, the outlook for potentially moving forward with a third dock, would that be contingent on seeing further growth out of the Permian? Or are there opportunities even if the Permian enters sort of a maintenance mode here in the current commodity environment?
Curtis Philippon: Thanks, Patrick. Yes, so from a gateway utilization capacity, one of the things I'm most excited about is the -- sort of with the increased capacity that we've got in Gateway, we talked a lot about adding more volume into a VLCC I'd actually argue equally as important is that we're now able to fully fill a Suezmax vessel. And that's something that I think actually drives some incremental new vessels into our facility. The Suezmax vessels have different ports they're able to go participate in. And that ability to fully fill one of those drives a real efficiency for our customers, and we think that's quite attractive. And I think that brings some incremental volume, incremental vessels into the facility on top of just more fills -- more complete fills on current vessels. So that's interesting. As we think about a third dock, I would not put the third dock in the plan for 2026, but we absolutely have the capability to do that. We'll watch for how this plays out. I think it's interesting that some of these other deep water sort of options seem to be pulling back. And so that will create a situation where I think people will need to look for ways to get more barrels to water and Ingleside is the most cost-effective, capital-efficient way to do that. And so I think that makes it quite interesting to think about expanding the dock, but I wouldn't put that on the horizon for the next 12 months, but that's interesting. And lastly, I'd plug that it's -- I look forward to seeing you and a whole bunch of other folks down in Gateway down in early June. So we're looking forward to hosting a good curve down there of investors and analysts and show off what a great asset we've got down there.
Patrick Kenny: Okay. Great. And then maybe just with respect to some of the debt refinancings, I know it looks pretty manageable over the next year or 2. But just in light of the leverage ratio being a little bit higher than where you want to see it. Just in terms of managing the working capital going forward, just wanted to check in to see -- it looks like quite a bit of inventory was flushed out in the quarter. And given the outlook for subdued marketing margins, is the plan to sort of manage inventory levels going forward until some of these debt refinancings are executed? Or how are you thinking about inventory, I guess, overall?
Riley Hicks: Yes. Thanks, Pat. It's Riley here. I think as we think about our maturities coming up, we obviously have one coming up this year. We feel like we're in great shape to refinance that at really good rates. When we think about inventory, really, as we build inventory, we're building it for a reason, typically because there's quite a bit of margin associated with it. So it doesn't really factor into how we would refinance our notes. And so if the opportunity is there to build inventory and make margin within the marketing business, we will do so, and we don't think that would impact any of our ability to refinance our notes.
Operator: This concludes the question-and-answer session. I would now like to turn it back to Beth for closing remarks.
Beth Pollock: Thank you, Haley, and thank you for joining us for our 2025 first quarter conference call. Again, I would like to note that we have also made certain supplementary information available on our website, gibsonenergy.com. If you have any further questions, please reach out to investor.relations@gibsonenergy.com. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.